Cody Slach: Good afternoon, everyone. And thank you for participating in today's call conference call to discuss Concrete Pumping Holdings financial results for the third quarter ended July 31, 2025. Joining us today are Concrete Pumping Holdings' CEO, Bruce Young, CFO, Iain Humphries, and the company's external director of investor relations, Cody Slach. Before we go further, I would like to turn the call over to Mr. Slach to read the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead. Thank you.
Cody Slach: I'd like to remind everyone that in the course of this call, to give you a better understanding of our operations, we will be making certain forward-looking statements regarding our business and outlook. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from such statements. For information concerning these risks and uncertainties, see Concrete Pumping Holdings' annual report on Form 10-K, quarterly report on Form 10-Q, and other publicly available filings with the SEC. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. On today's call, we will also reference certain non-GAAP financial measures including adjusted EBITDA, net debt, and free cash flow, which we believe provide useful information for investors. We provide further information about these non-GAAP financial measures in reconciliations to the comparable GAAP measures in our press release issued today or the investor presentation posted on the company's website. I'd like to remind everyone this call will be available for replay later this evening. A webcast replay will also be available via the link provided in today's press release as well as on the company's website. Additionally, we have posted an updated investor presentation to the company's website. Now I would like to turn the call over to the CEO of Concrete Pumping Holdings, Bruce Young. Bruce?
Bruce Young: Thank you, Cody, and good afternoon, everyone. In the third quarter, our results demonstrated the resilience and adaptability of our business model through ongoing macro headwinds and localized weather-related disruptions. Our discipline focused on cost management, fleet optimization, and strategic pricing helped buffer against top-line volume softness. Despite the market pressures, we remain committed to generating healthy free cash flow, maintaining flexibility, and deploying capital thoughtfully to position the company for stronger performance as conditions improve. Now turning to specific comments on by segment, with our U.S. Concrete Pumping business, we continue to experience construction softness across a variety of commercial work, especially in more interest rate-sensitive like commercial projects. Larger commercial projects such as data centers and warehouses remain durable but continue to move at a slower pace given the uncertain economic backdrop. Similar to last quarter, volume demand in our residential end market remained largely resilient against some pricing pressure in the Mountain Region and Texas, and we experienced continued softness in other U.S. regions due to market uncertainty and elevated interest rate environment. Our residential end market mix remained at 32% of total revenue on a trailing twelve-month basis. We still expect the structural supply-demand imbalance in housing will continue to support medium to long-term homebuilding activity, and we believe the Federal Reserve's path to interest rate reduction should continue to support this end market's growth. Additionally, on the infrastructure side, our national footprint continues to allow us to gain market share as previously allocated funding moves into project starts. Finally, higher than normal rainfall in our central and southeastern regions further disrupted revenue in our U.S. Concrete Pumping business. Moving to our UK operations, the impacts of interest rates and economic uncertainty weighed more heavily on commercial project volume than we had experienced last quarter. However, infrastructure remains resilient in the UK, particularly with continued growth in HS2 construction and a long construction runway remaining to project completion. We expect our infrastructure business both in the UK and US to remain robust in fiscal year 2025 due to the funding environment in the UK as well as opportunities domestic from the conversion of allocated budget funding into project starts within the Infrastructure Investment and Jobs Act. Our US Concrete Waste Management business, we continue to increase revenue due to both volume and pricing growth despite broader market headwinds. I will now let Iain address our financial results in more detail before I return to provide some concluding remarks. Iain?
Iain Humphries: Thanks, Bruce, and good afternoon, everyone. Moving right into our results in the third quarter. Revenue was $103.7 million compared to $109.6 million in the prior year quarter. As Bruce mentioned, the decreased revenue was mostly attributable to a volume decline in our U.S. Concrete Pumping segment due to the continued softness in U.S. commercial construction volume and some adverse weather disrupting several of our U.S. regional markets. Revenue in our U.S. Concrete Pumping segment, mostly operating under the Brundage-Bone brand, was $69.3 million compared to $75.2 million in the prior year quarter. Estimated adverse weather in our Central and Southeast regions impacted our third quarter revenue by approximately $2 million. Revenue in our U.S. Concrete Waste Management Services segment operating under the Eco-Pan brand increased 4% to $19.3 million compared to $18.5 million in the prior year quarter. The organic increase was driven by robust time pickup volumes and sustained improvement in pricing. Our UK operations, operating under the Camfaud brand, revenue was $15.1 million compared to $15.9 million in the same year-ago quarter. Due to lower volumes caused by a general slowdown in commercial construction work, mostly due to the impact from high interest rates. Foreign exchange translation was approximately a 500 basis point benefit to revenue in the quarter. Returning to our consolidated results, third-quarter gross margin declined 160 points to 39% from 40.6% a year ago. While ongoing cost control initiatives helped support margin performance, they could not fully offset the impact from lower revenue volumes and fleet utilization as we deliberately continue to invest in our equipment and people in the present softer market. As the construction market recovers, however, we expect to have an outsized benefit from these investments. As a result, we would expect to see bottom-line expansion through improved fleet utilization and higher efficiencies of pumping volumes. General and administrative expenses in the third quarter declined slightly to $27.5 million compared to $27.9 million in the prior year quarter. As a percentage of revenue, G&A costs were 26.5% in the third quarter, compared to 25.5% in the prior year quarter. Net income available to common shareholders in the third quarter was $3.3 million or $0.07 per diluted share, compared to net income available to common shareholders of $7.1 million or $0.13 per diluted share in the prior year quarter. Consolidated adjusted EBITDA in the third quarter was $26.8 million compared to $31.6 million in the same year-ago quarter. And adjusted EBITDA margin was 25.8%, compared to 28.8% in the prior year quarter. In our U.S. Concrete Pumping business, adjusted EBITDA declined to $15.6 million compared to $20.3 million in the same year-ago quarter. Our UK business, adjusted EBITDA was $3.9 million compared to $4.2 million in the same year-ago quarter. For our 3% to $7.4 million compared to $7.2 million in the same period-ago quarter. Turning now to liquidity. At July 31, 2025, we had total debt outstanding of $425 million and net debt of $384 million, which equates to a net debt to EBITDA leverage ratio of approximately 3.8 times. Approximately $358 million of availability at the end of July, which includes cash on the balance sheet, and availability from our ABL facility. Now moving on to our share buyback plan, during the third quarter, we repurchased approximately 593,000 shares for $3.8 million at an average price of $6.4 per share. Since the buyback was initiated in 2022, we have repurchased over 4.6 million shares or approximately $30 million of our stock, with $20 million remaining in the authorized plan through December 2026. We believe our share buyback plan demonstrates both our commitment to delivering enhanced value to shareholders and our confidence in our long-term strategic growth plan. Moving now into our 2025 full-year guidance, which remains unchanged. We expect fiscal year revenue to range between $380 million and $390 million, adjusted EBITDA to range between $95 million and $100 million. We expect free cash flow, which we define as adjusted EBITDA, less net replacement CapEx and less cash paid for interest, to be approximately $45 million. Despite a challenging macroeconomic backdrop, we are committed to a prudent capital allocation and opportunistic investment strategy. Combined with our consistent track record of strong unit economics, healthy liquidity, and balance sheet strength, we believe we are well-positioned for continued investments in our fleet to strengthen our service offering in anticipation of a market recovery in fiscal 2026 and beyond. With that, I will now turn the call back to Bruce.
Bruce Young: Thanks, Iain. While end markets have yet to show signs of a sustained recovery, we continue to believe our business is well-positioned to benefit when construction activity improves. Over the last several quarters, we have maintained a healthy balance and strong cash generation reinforcing the stability of our platform. Our focus remains in the areas within our control executing against our disciplined growth strategy, maintaining our commercial leadership, and driving efficiencies through operational excellence. With our solid financial position, we have the flexibility to pursue acquisitions when opportunities arise, invest in organic growth initiatives, and deliver superior shareholder value. The durability of our business model combined with a track record of successfully navigating cycles gives us confidence in our ability to deliver healthy financial and operating results through a variety of environments. These efforts, we believe, set the stage for long-term shareholder value creation. Lastly, on tariffs, we do not anticipate any meaningful direct near-term impact on our business. However, the heightened uncertainty has contributed to delays in customer decision-making and a slower pace of commercial project commitments. With that, I would now like to turn the call back over to the operator for Q&A. Joe?
Operator: Thank you, sir. Star one on your telephone keypad. And a confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question from the queue. It may be necessary to pick up your handset before pressing the star key. And the first question comes from the line of Andy Wittmann with Baird. Please proceed.
Andy Wittmann: Greg, thanks for taking my questions this afternoon, guys. Yes, I would just want to ask a little bit more detail on the outlook here. I guess just maybe just in terms of the fourth quarter, just looking at the implied guidance, I understand you do not want to change the ranges because it was not so big change to do anything here. But it looks like you are kind of implying that margins might be up if I look at the midpoint. In the fourth quarter. Do not know if that is your math as well. And you know, given that revenues are gonna be down, that seems like it should be tougher. So just maybe thought you could address that one first, and then I want to talk about '26 and beyond.
Iain Humphries: Yeah. So on the guidance piece, I mean, you know, we tightened the range in the last quarter. So we still feel good with the range. And then as you know, quarters March are usually quite compatible. There is an extra day. In the fourth quarter compared to the third quarter. So we feel good about the range, and the margin profile is trending and the volume in the business. For the fourth quarter. Got it.
Andy Wittmann: Okay. Just and then I noticed this subtlety here. You're trying to it looks like in the commentary on the on the revenue guide, you're trying to just get every framed up here. As to how do we think about the recovery here eventually. I think last quarter, you're a little bit more optimistic it could happen a little bit earlier here. Seems like you pushed it out a little bit or at least a couple of quarters, Bruce. Maybe you could just talk about is it is this what you're seeing in the backlog? Is this what you're hearing from customers? Kinda what informs this new view of when the recovery positive revenue growth or at least positive volume growth It's what informs it this quarter versus prior quarters if anything's different.
Bruce Young: Yeah, thanks Andy. So some of the things we are seeing that are a little bit more positive, the bidding activity that we have right now is up from what we've seen in previous months slightly. As you know, residential has been fairly resilient for us. We expect it to stay strong through next year. The infrastructure projects are starting to come a little more rapidly than what we had seen in the past in the US. And then, of course, in the UK with HS2, really kind of hitting its height now and some decent infrastructure projects coming behind that. That looks good as well. The larger commercial projects, data centers, we're seeing good activity there at shift plants, big warehousing. What we're not seeing a lot of is manufacturing that seems to be a little bit on hold until the tariff talks kind of settle out, but we're becoming more optimistic into next year, but it's really too early to tell just what that's going to look like.
Andy Wittmann: K. I'll leave it there. Thanks, guys.
Bruce Young: Thanks. Thanks, Andy.
Operator: The next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed.
Brent Thielman: Thanks. Good afternoon, Bruce. Bruce, I was just wondering if you could speak to what you're seeing in the US business relative some of the pricing pressure you've alluded to in the past, whether you're seeing any stabilization in that does that still exist and and still a factor here in in the results?
Bruce Young: Yeah. That still does exist. And I think the reason for that is with light commercial being off, a lot of the competitors that we have are trying to go after more complex projects that they wouldn't have gone after before putting some pricing pressure on those types of projects. And with the softness in some of the markets that we're in with residential, it's caused a little more pricing pressure there. We do expect that we'll see that continue for another six months or so. And then as markets start recovering, we think that that will go away.
Brent Thielman: And then on the US pumping margins, when we just is the I guess, the lower comparison is purely just the underutilization of assets? Are you still modeling some costs that you've gotta overcome is inflation a factor here, or is it you know, just getting you know, leverage back in the business. See the margins reverse?
Iain Humphries: Yes, Brent, thanks for the question. Yes, on the margin profile, management expects that the change in volume does put some pressure on that margin profile. I mean, as we mentioned in our prepared remarks, we've been very focused on the cost initiatives to help balance that. Unfortunately, it didn't quite offset the challenge on the margin piece. So there is a bit of operating leverage that we've seen right now. But, you know, we expect the other side of that as the volumes improve. The improved fleet utilization improves that operating leverage, and we would expect to see strong recovery on the benefit of that once the volume piece moves in this positive direction. But for right now, you're right. That's the current pressure on the margins, but that's also the benefit of the variable nature of our cost base. That we can weather that storm and then obviously expand the margin profile as utilization and volumes improve.
Brent Thielman: Guys. Understood. I'll pass it on.
Iain Humphries: Thanks. Thank you.
Operator: The next question comes from the line of Luke McFadden with William Blair. Please proceed.
Luke McFadden: Hi, Bruce and Iain. Thanks for taking our questions today. Maybe just tagging off of Andy's question related to the outlook from earlier. If the recovery were to begin in fiscal 2027 in terms of construction markets, should we be interpreting that to mean that growth might continue to be down in 2026? I know you're not in a position to be providing guidance for next year. But, you know, just as we kind of think about, the shape of the recovery here, as we move through the next, you know, twelve to eighteen months.
Bruce Young: Yes, certainly we expect by 2027 things will get better. At this point in time, it's difficult to know when in 2026 that turns and so we're really not comfortable giving guidance out for '26 yet.
Luke McFadden: Sure. Of course. Makes sense. And then, Iain, maybe just one clarification question related to weather. I think the comparable period from last year, weather had caused about a $6 million headwind to the quarter. With that $2 million headwind that you called out, for this quarter, are you saying in total, was an $8 million weather-related headwind for the 2025 here?
Iain Humphries: No. It was $2 million in comparison to the last year. I mean, last year was also quite bad, but in the months of May and June, this year, it was worse than it was in that prior year. So it's a two-year, like, year-over-year comparison. I mean, obviously, these weather events create some near-term noise that we sort through, so there's a bit of a disruption compared to last year in the months of May and June.
Luke McFadden: Understood. Understood. And if I can sneak in just one more here at the end. You know, as we think about some of the heavy construction expected to be built domestically over the next few years, things like semiconductor fabs, data centers, and broader manufacturing. It looks like some of this construction probably gonna congregate in certain geographic markets. I'm just wondering how you currently feel about your geographic footprint and is there any areas you'd like to have more exposure to in light of some of these trends? Thanks so much.
Bruce Young: Yeah, that's a really good question. So we currently feel pretty good about our footprint. However, we have expanded our footprint recently to take in projects that are quite sizable in areas we weren't in and we'll continue to do that into the future.
Luke McFadden: Understood. Thanks so much. I'll pass it along. Thank you. Thanks.
Iain Humphries: Thank you.
Operator: This concludes our question and answer session. At this time, I'd like to turn the call back over to Mr. Johnson for closing remarks.
Bruce Young: Thank you, Joe, and thanks, everyone. We would like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our fourth quarter and full fiscal 2025 results in January.
Iain Humphries: Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.